Operator: Good morning. My name is Laurie and I’ll be your conference operator today. Thank you for joining us for this conference call for Oriental Financial Group. Our participants are José Rafael Fernández, President, Chief Executive Officer and Vice Chairman; Ganesh Kumar, Executive Vice President and Chief Financial Officer; José Ramón González, Senior Executive Vice President, Banking & Corporate Development; Norberto González, Executive Vice President and Chief Risk Officer; and Ramon Rosado, Senior Vice President, Treasurer.
 There is a presentation that accompanies today’s remarks. It can be found on the Investor Relations website under news and presentations and then under webcast presentations and other files. Please note this call may feature certain forward-looking statements about management’s goals, plans and expectations, which are subject to various risks and uncertainties outlined in the Risk Factors section of Oriental’s Securities and Exchange Commission filings.
 Actual results may differ materially from those currently anticipated. We disclaim any obligation to update information disclosed in this call as a result of developments which occur afterwards. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. During the question-and-answer session, we ask questioners to not use cell phones or blackberries as they might cause loud static on the line.
 I would now like to turn the call over to Mr. Fernández. 
José Fernández: Good morning. Thank you for listening in today. I’m here in New York with Ganesh and José Ramón, Norberto and Ramón José who are in Puerto Rico. I’ll review our results and Ganesh will go over the income statement and balance sheet. Then I’ll come back and wrap up and then we’ll go into question and answer. We’d like to end today’s call no later around 9:50 in the morning. If anybody has any questions, we can’t get to, we will be happy to follow-up later.
 Starting on page four of the presentation, you can see that results for the third quarter show we continued to move in the right direction. Income per share diluted was $0.35, slightly up from the second quarter. Income available to common shareholders was $14.7 million, up 7% from the preceding quarter. And as indicated in our release, third quarter results include $1.8 million in dividends paid on the $84 million preferred stock issued earlier in the quarter. This is part of our capital raise for the BBVA-Puerto Rico acquisition.
 Third quarter results also include approximately $1.5 million in expenses related to the acquisition. Book value per share was around $15.40 at September 30, 2012, up slightly from the June 30, 2012 number. Cash dividend per common share was $0.06 level with the second quarter but up 20% from the year-ago quarter. We focus on 2 main efforts during the quarter, that is continue to grow our banking operations and doing all the things needed to successfully close the BBVA-Puerto Rico acquisition transaction before the end of the year.
 On page 5 are some of the key operational highlights for the quarter. On the loan side, we continue to generate highly satisfactory results. Interest income was up 4.3% from non-covered loans and 9.5% from covered loans. The interest income from investments is also up by 9.5% despite lower portfolio balances.
 We continue to reduce the cost of court retail deposits, while increasing balances; we also continue to reduce the cost of borrowings largely due to actions taken prior to the quarter. Credit quality continues to gain strength as we posted improvements in nearly every major metric. Net interest margin was 2.77%, up 49 basis points from the second quarter.
 We are on track to achieve our original NIM target of 250% to 260% for the year principally on reduced premium amortization and lower cost of funds. In production, loans were up more than 10% quarter-over-quarter and 13% year-over-year and assets under management hit a record $4.6 billion at September 30, 2012 up 16% from a year ago. In a difficult market environment, we’re up more than 2% from the end of the second quarter. Finally, we continue to control expenses excluding cost associated with the BBVA-Puerto Rico acquisition, non-interest expenses came in at almost the same level as the second quarter.
 Turning to page 6, to reduce some of the noise in our numbers, you can see how our progress is especially evident in the performance of total pre-tax pre-provision operating income. At more than $21 million, this was up 33% from the preceding quarter and ahead 58% year-over-year.
 With that, I’d like to now turn the call over to Ganesh. 
Ganesh Kumar: Thank you, Mr. Rafael. Let’s start by looking at the income statement first and then the balance sheet components. Turning to page 7, we can see the interest income from non-covered loans performed well. We saw interest income increased in all 4 categories, in particular residential mortgages and commercial loans. Yield balances in production overall up particularly in the strategically important commercial loan category.
 Residential mortgages benefited from slightly better yields and low inflows into delinquencies. On the covered loan side, cash flows continue to improve resulting in increased yield and lower provision. As a result of us working more closely with the former Eurobank borrowers, during the quarter, when we concluded our annual exercise of recasting future cash flows of all the pools, improvements in actual cash flows over the last forecast let us to further re-yield our covered loan portfolio to 20.38%, up 263 basis points from last quarter.
 The accretable yield also increased consequently to $183.8 million from $177.3 million last quarter. This includes the transfer of about $28.9 million from non-accretable yield due to this revised forecast. With regard to the investment securities, we’re seeing higher interest income and yield due to the lower premium amortization on mortgage-backed securities. The premium amortization in third quarter was $7.9 million compared to $13.2 million in the second quarter.
 The lower premium amortization also more than offset a decline of interest income due to reduction in size and lower yield of the portfolio. Interest income from loans as a percentage of total interest income equals 61% up from 49% in the year ago quarter underscoring our emphasis on increased banking activity.
 Now turning to page 8, interest expense totaled across the board, average pricing of core retail deposits fell to 1.25% compared to 1.34% in the second quarter while balances increased slightly. Cost of deposits fell as a result of our continuing efforts to optimize our net interest margin. The fallen interest expense on borrowings reflected lower rates paid, 2.17% versus 2.34% due to actions prior to the quarter involving the use of cash and repurchase agreements to reduce our cost of borrowings.
 You will also see on this slide, the provision for covered loan and lease losses was $0.2 million, a decline of $1.2 million from the last quarter. This reflects our recent experiences of cash flows of different pools of loan, and consequently, the revised forecast mentioned earlier. We’ve got a separate slide a little later detailing the non-covered loan credit quality.
 Now turning to page 9, you can see how we continue to generate a high level of core non-interest revenues from wealth management and banking activities. Total revenues in core non-interest income were about level with both the preceding and the year-ago quarter, but are up almost 10% to year-to-date. This is generally in line with our plan this year for these businesses.
 Turning to page 10, you will see that non-core, non-interest income was $2.4 million compared to $5.5 million in the preceding quarter. Third quarter results primarily reflect our deleveraging plan and amortization of FDIC loss-sharing indemnification assets. Regarding the deleveraging as we previously mentioned, the purpose is to reduce our capital needs when we acquire the BBVA Puerto Rico operation. To enhance our returns in the first year of full operations as well as thereafter, and to obtain an improved multiple by having a more traditional balance sheet.
 Our original plan called for selling $1.3 billion of securities in the fourth quarter, while cancelling an equivalent amount of repos, at a net cost approximately $10 million. Due to favorable market conditions, we are implementing the plan in 2 phases, one that was executed in the third quarter now, and the second that will take place in the fourth quarter. In the first phase of the plan we sold $532 million of securities with an average book yield of 3.86%, generating a sizeable gain. At the same time we terminated higher of maturity $400 million of repos with an average cost of 3.33%.
 The net result of the first phase after extinguishment fees of on the repos was a gain of $12.1 million, which was better than originally anticipated. This means instead of selling a total of $1.3 billion of securities to offset a good portion of the cost of cancelling all the repos, we will be selling $1.1 billion of security. This enables us to retain $200 million in securities yielding 2.75%.
 Regarding FDIC loss-share indemnification assets, we had $8.1 million amortization compared to the $5.6 million in the preceding quarter. This increases mainly due to reyielding the covered portfolio as we previously mentioned. The FDIC loss-share indemnification asset reduced to $328.6 million from $359.8 million last quarter.
 On page 11, we continue to manage our non-interest expenses tightly and prudently. Non-interest expenses of $30.4 million included approximately $1.5 million of expenses related to be BBVA acquisition. This compares to a non-interest expenses of $28.7 million in the preceding quarter, where the BBVA related costs were about $430,000. As we mentioned in the last call, the second quarter also included approximately $1 million in favorable tax settlements with San Juan municipality related to the Euobank transaction.
 Let's move on to balance sheet. Turning to page 12, cash and cash equivalents including securities purchased under agreements to resell increased to 13.9% to $785.5 million. This reflects proceeds from July 3 preferred stock capital issuance, repayments on MBS, and net gain on sale of securities.
 Total investments of $3.1 billion declined 10.7% reflecting the previously noted sale of MBS. As we continue to transform our balance sheet towards banking activity, the real story is that, while the investment portfolio is now down 22.9% year-over-year, the total interest income is down only 8.2% for the same period.
 Moving on to page 13, total non-covered loans up to $1.2 billion increased modestly. This reflected increases of 5.2% in commercial, 12.5% in auto leasing, and 10.2% in consumer loans. Residential mortgages declined 2.1% as they continue to pay-down in the present low rate environment.
 Starting about 3 years ago, we began selling more than 90% of our residential mortgage production into the secondary market rather than retain them in the portfolio. Total covered loans net of $413.6 million declined 7.6% as they continue to pay-down in line with production.
 Regarding loan production through September 30, we’ve already written more than $134 million in new commercial loans, and should reach between $175 million and $185 million for the year. Commercial and consumer loans with auto leases are key to our strategy of building Oriental’s loan portfolio into a robust source of profitability. These loans are replacing residential mortgage loans in the portfolio, and positive market recognition of Oriental solid financial position continues to be a factor in expanding this business.
 On page 14, we have our analysis of what happened with the funding costs. We already covered most of the key factors regarding the deposits and the borrowings. With regard to the borrowings they have shown 11.9% to less than $3 billion. This reflects the previously mentioned extinguishment of repurchase agreement funding. Borrowings are now down 21.3% also, year-over-year due to our asset liability management strategies.
 Turning to page 15, we continue to improve upon our already high credit quality. Non-performing loans declined 2.3% to $117.8 million while the net credit losses declined 49.9% to $1.9 million. The allowance for loan and lease losses increased 4.6% to $39.1 million while provisions declined 5.3% to $3.6 million, and total delinquency loan balances also declined.
 On page 16, stockholder equity totaled $771.7 million, an increase of 11.5% from the end of the last quarter. Besides additional earnings, the following contributed to this increase: $84 million from previously mentioned issuance of preferred stock and $12.2 million decline in mark-to-market due to previously mentioned securities sale. Book value per common share was $15.40 at September 30, 2012 compared to $15.39 previous quarter and $15.05 September quarter of 2011.
 On page 17, Oriental maintains regulatory ratios well above the requirement for a well-capitalized institution and they continue to improve. At September 30, 2012 Tier-1 common equity to risk-weighted assets were 31.19%. Tier 1 risk-based capital ratio was 36.52% and total risk-based capital ratio was 37.81%.
 Now, I’d like to turn the call back to José Rafael. 
José Fernández: Thank you, Ganesh. We are now on page 18. The plan to acquire BBVA-Puerto Rico operations for $500 million in cash continues to move forward. With regards to the capital raise, as we previously reported, approximately $150 million will come from the capital raises and the balance through available cash. Early in the third quarter, we raised $84 million through the issuance of convertible perpetual preferred stock and we anticipate raising the balance to the combined offering of common and preferred stock.
 We also have been very active preparing for a smooth integration of the 2 organizations. The acquisition continues to be well received and BBVA-Puerto Rico continues to perform as expected. Starting in the third quarter, our people have begun working closely with BBVA-Puerto Rico’s highly experienced management and staff to prepare for a seamless transition in anticipation of what we hope will be a favorable regulatory decision. We have continued to receive positive feedback from both banks clients.
 And now, I’m turning to page 19, and I’ll just like to wrap up with a personal note. I’m very excited about our future and prospects and especially about our progress. Operationally, we are continuing to grow and execute well in line with our strategies. Everything is going in the same favorable speed and directions in terms of income, fees, and expense control. And we are highly encouraged and excited about the acquisition.
 The more we see how Oriental is executing on our plan and the more we see how BBVA-Puerto Rico is performing on their plan, the more encouraged we are about the near and longer term benefits that will accrue from the combination. We will be ready to hit the ground running on day one, and all this is taking place as the economy of Puerto Rico continues to show signs of stabilization as we had predicted in the past.
 That concludes our formal remarks. And I’d like to ask the operator now to open the call for questions. Thank you. 
Operator: [Operator Instructions] Your first question comes from the line of Joe Gladue of B. Riley. 
Joe Gladue: Let me start off with -- I guess some margin question, just wondering where the -- sort of the average yields of the loans you originating are compared to I guess the average yields on the portfolio now? 
José Fernández: I'm sorry Joe. Could you repeat the question on the yields on the loans? 
Joe Gladue: Yes. The new loans you are originating, how do they compare to the average yields, existing yields on the loan portfolio. In other words, are they coming on at -- go ahead. 
José Fernández: Pretty much in line with the yields that we're having on the portfolio, it certainly depends on which type of loan on the commercial side [indiscernible] or small business have a higher yield and then more corporate have the lower yield. But on average pretty much along those lines. That's the trend that we’re seeing. 
Ganesh Kumar: Joe, the difference that you see in the loan yield from last quarter to this quarter, is not because of the new volume pricing, but the mix. We have little bit more consumer also the yield from the residential mortgage portfolio is better purely because of the different vintages that’s rolling off. 
Joe Gladue: Okay, thanks, that’s helpful. And just on the funding side, particularly I guess deposit costs and everything, but you expect to see further reductions in deposit costs going forward or how much more can you get? 
José Fernández: Yes, we see that is an opportunity for us to do that that we continue to grow the commercial bank, we’ll gain more on the non-interest bearing deposit accounts. And also on the pure interest bearing accounts retailed, we do have some space to improve still for the remaining part of the year. And we have gone down from 135 or so last quarter to 125 now, and most likely will trend down to closer to 115 or so in the fourth quarter, on the retail cost of the deposits. 
Joe Gladue: Okay, all right. Let me move over little bit to just a capital issues, can you share what your thoughts are in terms of your capital ratios post, I guess both capital raises and the merger -- how much excess capital will you retain? And I guess what where they look like in relation to, what they look like in relation to Basel 3? 
José Fernández: We have, Joe -- we’re going to have to defer those type of questions related to the capital raise that we are involved with for -- look at the press release, that we have come out with and on our registration statement. 
Operator: [Operator Instructions] Your next question comes from the line of Robert Greene of Sterne Agee & Leach. 
Robert Greene: Just a quick question going back to the margin, that the full-year outlook of 3.5 to 3.6 just by my account, it implies I guess a modest decrease in margin for the fourth quarter from what you guys posted in this quarter. So I'm wondering, I know there is a lot of moving parts with the covered asset portfolio, MBS prepayments et cetera. And I'm wondering if you just kind of walk me through the puts and takes I suppose to get to the margin in the fourth quarter? 
José Fernández: Before we go into the details, I will pass it to Ganesh to give you the specifics, but I just want to say something here regarding that question on a high level. We are as you know going through a transition of our balance sheet, and that's one reason why you see us having a quite volatile NIM as we have done some deleverage and as we have booked more loans and then you have the core [ph] portfolio being reyielded. So those factors on a macro basis are affecting the NIM. But for this quarter specifically, premium amortization and the investment portfolio was one of the main drivers for an increased NIM, and I like to pass it to Ganesh for him to go in more detail. 
Ganesh Kumar: Sure, Robert. I think as you correctly pointed out there are lots of moving pieces. The forecast we have or what we expect is premium amortization to be at the same level if not much higher. The reason for the margin might be because of the deleverage timing. We still -- our modeling assumes end of the December deleverage, remaining deleverage and if you are able to do earlier it might be little bit, so we just accommodated for that as well -- on our NIM guidance. 
Robert Greene: Okay, that makes sense. And I'm wondering it just relates to the [indiscernible] it looks like the common equity offering size was increased from the original filing. An I understand it's -- you might be limited on what you can tell me, but I'm wondering kind of what the thought process was between -- behind increasing the deal size? 
José Fernández: Unfortunately, we can't address those type of questions in this call and we refer you to our registration statement and the press releases. 
Robert Greene: Okay, that's fine. And just one last question, it looks like growth overall was positive in the quarter. Obviously the fee income was positive and some of the period and loan balances, I think, were better than maybe expectations. Is this a function of the Puerto Rican economy improving or is this OFG taking share from competitors? 
José Fernández: I think it has both components play into this, but I think the bigger part is the - of course that we have put in place organically at Oriental throughout the last year and a half or so. José Ramón can add into that from his perspective. 
Jose Gonzalez: Yes, I mean I think we have a team that is in place and working cohesively to really build market share vis-à-vis our competitors and I think we’re now seen and recognized as a credible force in the commercial banking segment. And that’s part of what you see there. So part of it is taking market share away from competitors. I would say though that it helps that the economy is got a better tone to it, feels more stable, and we’re seeing more investment activity in the market. So we’ll see when more numbers come out from other banks and their growth, but it may well be that there has been some growth in the overall pine of just re-shifting of market shares. 
Operator: At this time, there are no further questions. I’d now turn the call back over to management for closing remarks. 
José Fernández: Thank you very much for joining us today in this investor call for the third quarter of 2012. Appreciate your time and looking forward to speaking to you in the near future. Have a great day. 
Operator: Thank you for participating in the Oriental Financial Group Conference Call. You may now disconnect.